Carolina Stromlid: A warm welcome to RaySearch 2025 Year-end Results Presentation. My name is Carolina Stromlid, and I'm Head of Investor Relations. With me today are our CEO and Founder, Johan Lof; and our CFO, Nina Gronberg, who will take you through the key highlights and financial results. After the presentation, we will open up for questions. Feel free to submit them in the Q&A chat or ask them live. With that said, Johan, over to you.
Johan Löf: Thank you, Carolina, and welcome again, everyone. So this is the agenda for this webcast. I will start with an introduction about RaySearch, then I will summarize Q4 and the full year. After that, Nina Gronberg will talk about the financial development. Then I'll take over again and mention the dividend proposal that we have. Since there is a strong focus on AI these days, I will make a deep dive into what that means for RaySearch. And then I will just summarize the presentation and make an outlook. After that, we take Q&A. So a few words about RaySearch. RaySearch is a pure software company, and we are dedicated to cancer treatment software. And we have 4 platforms, RayStation, RayCare, RayIntelligence and RayCommand. What we see in this image is a comprehensive cancer center. And our long-term goal is to support such a center with all the software that they need. So not only radiotherapy, but also support for chemotherapy, surgery, tumor board meetings and other things. So that's a long-term vision for RaySearch. So far, we have focused mainly on radiation therapy of cancer. What we see in this image is the user interface of RayStation, our treatment planning system. And it summarizes quite well what's going on in treatment planning, radiotherapy. In the upper left upper -- let's see, upper right image here, you see a machine. This particular machine happens to be an X-ray by Hitachi. And we can see in this image how the machine moves around the patient. So it rotates and it also swivels this ring around the patient. So one thing that we have to do in our treatment planning system is to model this machine, so we understand how we can move and also the physics of the beam, so we can calculate dose in the patient, et cetera. The next thing we need is a model of the patient. So we see the patient in the middle upper image here and also in the other images, you see different cross-section of the patient. And we also see the dose distribution, which is the color wash overlaid on the CT images. And the idea here is that we get a high dose to the tumor, which is the red color in this image and low dose to the organs at risk outside of the tumor. For example, you see the spinal cord in this surgical view that it has a very low dose. The lower right image shows the patient from the source. If you look at the patient from the source, this is how the patient would move. It looks like the patient rotates, but it's actually the source that rotates around the patient. So this is, in summary, what we are doing in treatment planning for radiotherapy. We also want our systems to absorb data as we treat the patients so that all of our products will automatically capture the data that is being generated before the treatment starts, during the treatment and during follow-up what happens to the patient after the treatment. And by absorbing all of this data in the system RayIntelligence, we can achieve clinical insights and feed information back to our systems to improve the systems. And some of those icons are -- represent machine learning models, but it can also be other aspects and other types of clinical insights. And we use this feedback data to improve our algorithms. We have some examples of that already out in the field. We can improve the efficiency of the operation. Ultimately, we want to provide decision support so that the members of the Tumor Board, for example, can make the best possible choice of strategy for the patient and ultimately improve outcomes. I show this diagram just to illustrate the long-term journey in terms of revenues. The reason is I want to highlight that we shouldn't look at RaySearch revenues on a quarterly basis. If you zoom out a little bit, this one goes all the way back to 2008. We can see that there has been a steady growth of revenues year after year. The 2 pandemic years are an exception, and we understand why those were -- those 2 years were weaker. But besides those, there has been a steady growth of the company, even though you may see fluctuations between quarters. Okay. And now I will make a few comments about the last quarter and also the full year. So Q4 was a strong finish of the year. Net sales grew by 16% to SEK 375 million, which is all-time high. Adjusted for the strong currency headwinds, the growth would have been 28%. Recurring support revenue was SEK 139 million, which corresponds to 37% of the total revenues. The strong sales translated directly into improved profitability. Operating profit increased by 25% to SEK 92 million, resulting in a 24% EBIT margin. Adjusted for currency losses, the margin would have been 27%. So for the full year 2025, net sales increased by 13% to SEK 1.34 billion, marking the highest annual revenue in the company's history. Organically, net sales grew by 19%. Recurring support revenue was SEK 524 million, which corresponds to 39% of the total revenues. Operating profit was SEK 292 million for the full year and the margin 22%. If we adjust for currency effects and extraordinary items, the operating profit would have been SEK 353 million and the margin of 26%. Let me briefly highlight a few of the new orders and expanded installations we secured during the quarter. We continue to see solid momentum with strong license sales to both new and existing customers across all regions. Greater Poland Cancer Center expanded its RayStation installation to include Proton Therapy, bringing photon and proton planning together on a single platform. The University of Pennsylvania, one of the premier proton therapy institutions in the U.S., selected RayStation as a unified treatment planning system for proton therapy across its 3 clinics. And Universitätsklinikum Gießen und Marburg in Germany chose to replace Philips Pinnacle, which reaches end of life in 2027 with RayStation. We have also seen strong clinical progress during the quarter. The Royal Marsden NHS Foundation Trust achieved a major milestone by performing its first online adaptive treatment on the standard Elekta linac using RayStation's adaptive planning module. Until now, most online adaptive treatments have been limited to specialized machines that a few centers have. This achievement makes online adaptive radiotherapy accessible to far more clinics and patients. At the Southwest Florida Proton Center, the first patient treatments were delivered using RayStation and RayCare together with IBA's Proton Therapy System, enabling highly precise treatments, including proton arc therapy. Together with the trend to Proton Therapy Center, we performed the world's first clinical proton arc treatments in 2025, a technique that improves dose distribution by using many beam angles and optimized energy levels. This achievement was actually named one of the top 10 scientific breakthroughs of the year across the entire field of physics by Physics World, and that's something that we are very proud of. And now I will hand over to Nina, who will go through in more detail the financial development.
Nina Gronberg: Thank you, Johan. Taking off from your presentation and the numbers in brief, we can conclude that it has been high interest in RaySearch solutions throughout the year, and that goes both from new and existing customers and in all of our regions. And that is also something that is very much reflected in the numbers for the last quarter. Order intake increased by 8% in the fourth quarter and 17% for the full year. And I want to highlight that these numbers include the effects from the stronger Swedish krona, which, as you know, has affected us a lot during the year. And that goes both in terms of growth and on the bottom line. Order backlog end of December amounted to SEK 1.528 billion, and the book-to-bill ratio was 0.9, both in the quarter and for the full year. Moving on to net sales. We finished the year beating the last sales record by far. Net sales of SEK 375 million means a growth of 16%. The organic growth was 28%, showing that the underlying business really performs well. License sales growth was 15% in quarter 4 and support sales grew with 6% year-on-year. When we take out the currency effects from the support sales numbers, the growth was 16%. The high net sales drove EBIT to SEK 92 million in the quarter and strengthened the margin to 24% compared to 23% for the same period last year. Currency losses from the revaluation of working capital affected EBIT with just above SEK 10 million. And adjusted for that, the EBIT margin would have been 27%. Next slide is the rolling 12 development of net sales and EBIT and the perspective that we believe gives a better description of RaySearch's business performance. For the full year 2025, net sales increased 13% to SEK 1.344 billion. The organic growth was 19%. And with an EBIT of SEK 292 million, we ended the full year 2025 with a margin of 22%. That is equal to last year, but also burdened by SEK 37 million in currency losses. Adjusted for those and an additional SEK 23 million that we treat as nonrecurring costs, the margin would have been 26%. Moving to the next slide, showing the revenue split and where I focus on the revenue from support, we saw a growth of 11% in our support revenue for the full year 2025. With the steady growth we have in our support revenue over time, we increased the robustness in the business from recurring revenue. And for the total year 2025, the portion of recurring revenue in relation to total net sales was 39%. Cash flow in quarter 4, as you can see here on the next slide, improved significantly and amounted to SEK 91 million, and that includes positive effects from a lower working capital. We will continue to put focus on having a good cash flow in 2026. However, I want to point out that I also -- or what I also said in quarter 3 that the cash flow can fluctuate also going forward. We always seek to work with standard payments or standard payment terms in our customer agreements, but we also have situations where the gap between sales and payment is longer. It can be tenders or framework agreements or related to certain markets, sales that comes with a good profit, but where we have to accept later invoicing. We want to have a position where we sometimes for strategic reasons and in relation to important customers can choose to accept profitable sales over short payment terms. And with the cash balance end of 2025 amounting to SEK 407 million and no loans, we have a solid financial position. The next slide shows the contract assets, that is our customer receivables and also our contract liabilities, and that is the balance sheet items that shows how much payments we have received from our customers in advance. We have, during 2025, moved away from a position where our contract assets were lower than the contract liabilities. And that is, to a large extent, dependent on that we have delivered on prepaid sales in our backlog. But I want to point out that a net position of SEK 118 million is still a good position. But of course, this doesn't take away our intention to lower this number and to improve the working capital where we can during 2026. And with this, I hand over back to you, Johan.
Johan Löf: Thank you very much, Nina. So I will just briefly mention the dividend proposal. So we are pleased to announce that the Board proposes a dividend of SEK 4 per share for 2025, which is up from SEK 3 per share. The dividend will be decided at the Annual General Meeting on May 7. The Board has also revised RaySearch dividend policy effective from 2026. The goal is to distribute 50% of profit after tax annually, taking into account the company's capital needs, investment opportunities and overall financial position. And now I would like to devote some time to AI and how it affects RaySearch. It's very important to note that AI is something very positive for RaySearch, and it's definitely not a threat against our products. There has been some belief in the community in general for software companies that AI can create and replace ordinary system development. That's probably true for simpler applications and with thin functionality and not so much data. With our large and complex systems, it's not doable for AI today. AI can only produce smaller snippets of code with high quality. Also, in our field, we need very deep domain knowledge. We also need to consider patient safety as well as cybersecurity and we are liable for that, and we have to take responsibility for the code. AI could never make sure or promise that there is no ML treatment of patients, for example. So we -- as a company, we need to understand the code and make sure that it doesn't harm any patients as we treat millions of cancer patients, and we cannot make a mistake one single time. There are also huge data requirements in our field. We need clinical data, images, plans, contours, et cetera. We need to perform measurements for machine modeling and quality assurance. Then we have the medical device regulations such as FDA where we, as a company, have to promise and document that our system performs according to the requirements and that it is a safe application. And AI doesn't take any responsibility in that regard. And it's also -- we are existing in an ecosystem with many, many partnerships with machine vendors and our installed base of about 1,200 clinics. And in order to develop these platforms that we develop, we need to do that in partnership with all of these stakeholders. So AI for RaySearch is a very useful thing. We have a large machine learning department at RaySearch, where we leverage AI for our products. For example, we have a functionality in RayStation called deep learning segmentation, where we based on images such as CT images and MR images can automatically segment the organs in the patient, as you see in that image to the right. So those are about 200 structures in the patient that has been automatically segmented with deep learning segmentation, and it takes about 1 minute to do that, which would take many hours to do in a manual setting or in a manual manner. And this is used clinically throughout the world and only 2025, 270,000 patients were segmented using this particular module. This leads to significant time savings, and it also increased the segmentation quality, and you can achieve better consistency over different users and over different institutions. The second product that we have in RayStation is deep learning planning. So here, we automate the very time-consuming task of treatment plan generation. 7,000 clinical treatment plans have been generated by our customers so far, but this is increasing rapidly now as more and more customers get their hands on this technology. This increased plan quality and again, consistency and saves a lot of time. It also opens up for multiple treatment plan generation for patients so that we can explore a larger solution space. One good example is a customer in Belgium, Iridium that have now automated almost all of their prostate patient planning using the AI capability in RayStation. So what they have seen is that the deep learning planning models outperform manual planning by a human being, achieving superior quality and consistency. And you can see some of the time savings that they achieve. So on the patient modeling side, they save 44% time and on the plan generation side, they save 47%. We also use AI to help develop our developers write code faster. So AI can then, for example, Microsoft Copilot can help our developers to find bugs, can explain complex code and patterns write tests and also help with documentation. But it's important that developers stay in control. They always review and modify the AI output. The code that's generated by AI is not always -- is not very tidy or beautiful. So we have to -- the developers have to stay on top of that. Okay. And now the final section of the presentation is a quick summary and outlook. So we saw that we had record high net sales despite macro uncertainty and a very heavy currency headwind. In spite of that, we could show solid profitability and also improved cash flow, which is that we are very happy about. There is still a strong demand for RaySearch Solution and increasing demand, I would say, for RaySearch Solutions across all the regions. And we are confident about our EBIT margin target of at least 25% in 2026. So with that, I will open up the Q&A session. And I believe Carolina will manage the questions.
Carolina Stromlid: Thank you, Johan. Yes, we will start the Q&A session with live questions. But before we do that, I would like to remind you that you can post written questions in the Q&A chat. So let's start with the first question that comes from Kristofer Liljeberg at DNB Carnegie.
Kristofer Liljeberg-Svensson: Yes, sorry. I have quite a number of questions. Maybe I'll start with 3 and then come back. So first...
Johan Löf: Kristofer, can I ask you to ask one question at a time?
Kristofer Liljeberg-Svensson: Okay. Maybe then I would like to ask about the support revenues, if there are any one-offs here helping that in Q4 or if that's a good starting point for 2026?
Nina Gronberg: Yes, that's a question for me then. Yes, we have some one-offs. It is not very much. But I mean, it is a little bit tricky, I think, to talk about one-offs in our support revenue because we always have a little portion of that. We have situations where our customer contracts are -- I mean, there is a delay in timing when they are renewed. And it might be that we -- because of that, have revenue for, I mean, more than 3 months in 1 quarter. So it's a little bit too hard to say, Kristofer, give a straight answer to that. But I would say that you can use this as the base going forward.
Johan Löf: Please go ahead, Kristofer. No, no, take one question at a time. That's all.
Kristofer Liljeberg-Svensson: Okay. That's helpful. Yes. My second question, the news that you set out a couple of weeks ago about Royal Marsden doing online adaptive on Elekta machine. was this without RayCare? And if so, how are they able to do that? I don't know if that's -- if it's possible to just give a quick answer on that.
Johan Löf: Yes. There was on the Versa HD Elekta machine. So far, only RayStation without RayCare, but that means the workflow is somewhat clunky, it takes more time. And -- but it is doable to do it, and that's the important message here. They will implement RayCare going forward and then the workflow will be smoother and quicker. Of course, it's more -- they have also a Radixact machine, so we'll be quicker on that machine given that we have interoperability between RayCare and the Radixact. And it will be also smoother on a TrueBeam, Varian TrueBeam since RayCare is fully integrated. But the point here is that even without this strong integration, you can do it, but it's not as quick.
Kristofer Liljeberg-Svensson: Okay. That's helpful. And my third question, if you could comment on the Pinnacle conversion in Q4 and the outlook for that here in 2026.
Johan Löf: Yes, we will of course, focus -- this is the last year that Pinnacle is around. So there will be a strong focus during 2026. In -- Q4 was actually surprisingly low. It has been a quite high percentage of license sales in previous quarters. In Q4, it was actually the license revenues from Pinnacle conversion was only 11%. So that shows that we can -- because I think that has been discussed and there's been a lot of questions about whether we are able to convert other clinics than Pinnacle clinics, but that shows you that, that's very possible.
Carolina Stromlid: The next question comes from Mattias Vadsten at SEB.
Mattias Vadsten: Can you hear me?
Johan Löf: Yes, we hear you loud and clear.
Mattias Vadsten: Good. I will always take them one by one. So you shared the license share of Pinnacle here in Q4, which was a low number. Could you share that for the full year? And also, that leads me to believe then that the conversion -- the Varian conversion and Elekta conversion must have been very strong to end the year. So just yes, if the momentum has switched gears there and what's driving that? That's the first one.
Johan Löf: Yes. Okay. So first, you asked for the full year number, I think it was 23% license revenues from Pinnacle conversion. Yes. It's just that we have been able to convert other types of clinics. For example, this large University of Pennsylvania order in Q4, which was, I believe, SEK 57 million, around that number.
Nina Gronberg: Revenues in order.
Johan Löf: What was it in SEK 53 million in revenue.
Nina Gronberg: A bit above SEK 40 million.
Johan Löf: And that was an Eclipse conversion. So that, of course, affected that mix for the Q4. So -- but this will vary from quarter-to-quarter. It's very hard to predict. We will have -- since we have a time-limited opportunity now for Pinnacle conversion, there will be a strong focus for that in 2026.
Mattias Vadsten: Good. And then I have a follow-up on Kristofer's question on the online adaptive radiotherapy that you can perform on Elekta, Linacs and TrueBeam with RayStation. But do I still read you correctly that in order for a clinic to seamlessly sort of perform online adaptive, you would still need RayCare in the future? Or how should I interpret that?
Johan Löf: That's correct. And to have like a broad clinical use for this RayCare is needed. So you have understood that correctly.
Mattias Vadsten: Okay. Good. And do you expect it to be frequently used among those clinics that have RayCare for maybe 2026 and the years to come?
Johan Löf: The main drivers for RayCare going forward now that we have a very good combination of equipment with RayStation, RayCare and Varian TrueBeam where you can make extremely effective online adaptive treatments. So we see a lot of -- well, all over the world for this combination.
Mattias Vadsten: I will limit myself to one more question. So in terms of the new orders, the University of Pennsylvania, if that was recorded as sales in Q4? And then maybe the same question for Greater Poland Cancer Center as well. That's my last one.
Nina Gronberg: Yes, it was a big portion of the order was recorded as sale as Johan also just said.
Carolina Stromlid: We have a question from Oscar Bergman at Redeye.
Oscar Bergman: Yes. Just wondering if you can give an update on roughly how many Pinnacle centers are left to convert? And also then were there fewer conversions in absolute terms from the clinics in Q4? Or have you sort of lost any market share on conversion?
Johan Löf: Okay. We don't know the number of Pinnacle clinics. It's in flux right now. So it's very hard to know the number of remaining Pinnacle clinics. In some countries, there are almost none like in the U.K. and Japan, they have been basically all converted. In Germany, there are quite a few remaining in the United States and China. But it's a couple of hundred. I can't give you more detail, but there's still a big opportunity out there. And no, we have not lost market share in terms of Pinnacle conversion. It's rather that other conversions have been -- because we look at percentages here. So in absolute numbers, we haven't -- we are still very successful in converting Pinnacle clinics to RayStation.
Oscar Bergman: Okay. I always asked about RayCare, and I have to ask about it also this time. I just wondering how many new RayCare centers were signed in Q4? And perhaps also if you can elaborate on what remains the largest obstacle for increasing RayCare clinics.
Johan Löf: No. There are no real obstacles. We had, I believe, 4 RayCare orders in 2025 in total. Of course, that's not where we want to be. But we see -- we believe that this will ramp up during 2026. And okay, one obstacle is the online adaptive capability, which needs 2 new versions of RayStation and RayCare requires FDA approval, and that takes the time it takes. It's not something we can -- it will be affected to some extent, but it will also in the hands of FDA. But -- so that's needed. But in Europe, the online adaptive treatments on this platform will start during spring. So we see the first. And that's also a good message for the U.S. market because then it's just a matter of time before they can get their hands on this functionality as well. So regarding ramp-up of RayCare, it only takes time, but there is a lot of interest for RayCare now. There are no particular obstacles in place. So we are quite confident that we will see, let's say, over the next 2, 3 years, a good ramp-up of RayCare sales.
Oscar Bergman: And I think in the Q3 report, you mentioned that you opened up some modalities for a customer base for a 6-month trial period. Just wondering if we can get an update on how that has progressed so far.
Johan Löf: It's still limited to a couple of countries, and it's progressing well. So they are very happy that they can try out new functionality. I think the limiting factor there is the time they have at their disposal. They're running very busy clinics, and it's hard to spend time on just exploring new functionality. But otherwise, it has been very well received in the countries where we have opened up so far.
Oscar Bergman: Okay. And just a final question. I know you're not supposed to give your view on the share price, of course. But at these share price levels, why are you focusing on dividends rather than stock repurchases?
Johan Löf: Yes, that's a good question. I think buying back shares is an interesting option that we will look into deeper. So we are looking into that for sure.
Carolina Stromlid: We will now take a question from [ Ariane Nothermeer ].
Unknown Analyst: Can you hear me?
Johan Löf: Yes.
Unknown Analyst: I have a question about the order backlog. So we have seen it steadily decrease over the past few years and right now is on the 1.1x for the sales for this year. Why is it decreasing so much? And is this like a problem for revenue growth going forward? Or is there something else going on here?
Johan Löf: The main reason why it has shrunk lately is the dollar effect or the currency effect. So no, we don't really see it as a problem.
Unknown Analyst: Okay. So you don't think that is limiting growth like over the past few years?
Johan Löf: No.
Carolina Stromlid: We will now move back to Kristofer Liljeberg at DNB Carnegie. I guess you have a follow-up question.
Kristofer Liljeberg-Svensson: Yes, a few more. First, just a clarification. The 11% and 23% you mentioned for Pinnacle conversion part of total license sales or is that for total license sales or license sales to new customers?
Nina Gronberg: Out of total license sales.
Kristofer Liljeberg-Svensson: Yes. Great. Then a question on the cost and particularly administration costs seem to have remained high here in Q4. Sequentially given that, I guess, third quarter, you should have had the extraordinary cost, much of that in that line or...
Nina Gronberg: Sorry, Kristofer, can you please...
Kristofer Liljeberg-Svensson: If I look at the administration costs, they remain at a quite high level. They're actually higher in Q4 than in third quarter and second quarter when I guess you had cost for the employee conference? Or was that another cost line?
Nina Gronberg: No, it's included in the administration costs.
Kristofer Liljeberg-Svensson: Okay. But did you have such costs this quarter as well? Or why does administration costs remain so high?
Nina Gronberg: No, we didn't have those costs in this quarter. And yes, it's a good question. I must come back to that one. I haven't looked at it from that perspective.
Kristofer Liljeberg-Svensson: Okay. And then maybe, Johan, I don't know if you want to say, you sound pretty positive in the CEO word in the report. So when it comes to the sales outlook for 2026, do you expect this a similar positive trend here or anything that could change that?
Johan Löf: No, to achieve the 25% EBIT margin and -- with at least 25% EBIT margin that relies heavily on sales growth. So we are positive in that regard.
Carolina Stromlid: Now we have a question from [ Mats Andersson ].
Unknown Analyst: I have a question about Ortega order. In Q3, you said that the first will have income in Q4. So my first question is how much is the income in Q4? And when will the next delivery to next center, don't know?
Johan Löf: I didn't hear which -- was it Ortega you were talking about...
Unknown Analyst: Yes, Ortega.
Johan Löf: No, that will come -- there hasn't been any revenue from that during 2025. But our estimate is that there will be revenues from at least 2 centers during 2026 from the Ortega order that will be delivered and booked as revenue.
Carolina Stromlid: Moving on to the next question that comes from Carlos Moreno.
Carlos Moreno: In the -- you're obviously very near your kind of previously set medium-term margin targets. And you mentioned in Q3 that you might revise those targets, give new long-term guidance. Do you still expect to do that at some point during 2026?
Johan Löf: Yes. During 2026, we will communicate a new, let's say, 3-year margin target and possibly some other financial target. But you can expect that will be communicated.
Carlos Moreno: And is that with like the half year or the first quarter or sometime during the year?
Johan Löf: I don't know for sure. It involves the Board has to make a decision. So I can say by myself. But that's not a problem. We want to communicate a new, let's say, medium-term target.
Carlos Moreno: Sorry, I interrupted you. I apologize. Sorry.
Johan Löf: No problem. Go ahead.
Carlos Moreno: No, no, that was it. That's good. So we're going to get some new targets sometime during the year. And by the sound of it, we're going to get margin and maybe sales. There's going to be some sort of more than margin medium-term target. Okay. And I just want to add what the -- another person said. I mean, if your shares are just being pushed down because they're in some basket, I appreciate the dividend is fantastic, but it just seems to me you have to be on the other side of AI selling, and it just seems to me a buyback is -- there'll come a point where spending your cash on buying your shares is a very sensible investment, right? And to me, it just seems like an extremely good idea. But anyway, I just wanted to look at that.
Johan Löf: I note your comment, and I think you're probably right.
Carolina Stromlid: And we have a follow-up question from Ariane Nothermeer.
Unknown Analyst: It was answered, sorry.
Carolina Stromlid: We have a follow-up question from Mattias Vadsten.
Mattias Vadsten: I just thought if you could help disclose some outlook on timing of approvals, release of modes to expand the use of the software products you have to further cancer therapy areas.
Johan Löf: Time line for that is -- so if you take liver ablation, for example, that can be used in Europe as of now. There, we are waiting for 510(k) clearance in the U.S. Chemotherapy will be clear sometime during 2027. And surgery will be -- yes, that's even further into the future. So I can't say that. But liver ablation will be first, chemotherapy after that and then surgery is coming after that.
Carolina Stromlid: Thank you all for your questions. With that, we will conclude today's presentation. A recording will be available shortly on our investor website. And if you have any additional questions, you are very welcome to reach out to us. We appreciate your participation today, and we look forward to connecting with you again on April 29 when we present our Q1 results. We wish you a pleasant rest of your day. Thank you.
Johan Löf: Thank you.
Nina Gronberg: Thank you.